Operator: Good day and thank you for standing by. Welcome to Third Quarter 2024 Tenaris S.A. Earnings Conference Call. At this time all participants are in a listen-only mode. After the speakers’ presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker today, Giovanni Sardagna. Please go ahead.
Giovanni Sardagna : Thank you, Gigi, and welcome to the Tenaris 2024 Third Quarter Conference Call. Before we start, I would like to remind you that we will be discussing forward-looking information in the call and that our actual results may vary from those expressed or implied during this call. With me on the call today are Paolo Rocca, our Chairman and CEO; Alicia Mondolo, our Chief Financial Officer; Gabriel Podskubka, our Chief Operating Officer and Luca Zanotti, President of our U.S. Operations. Before passing over the call to Paolo for his opening remarks, I would like to briefly comment our quarterly results. Our sales in the third quarter of 2024 reached $2.9 billion, down 10% compared to those of the previous year, and down 12% sequentially, mainly due to lower prices in the Americas and lower demand in the USA, Mexico, and Saudi Arabia, as well as lower line pipe shipments to Argentina. Average selling prices in our tubes operating segment decreased 14% compared to the corresponding quarter of last year and 2% sequentially. Our EBITDA for the quarter was up 6% sequentially to $688 million, as the previous quarter was affected by an extraordinary provision recorded for an ongoing litigation related to the acquisition of participation in Usiminas in 2012. Without this extraordinary provision in the previous quarter, the EBITDA for the quarter would have declined 16% sequentially. However, our EBITDA margin at 23.6% was only marginally lower compared to the margin recorded last quarter on a comparable basis. With operating cash flow of $552 million and capital expenditure of $179 million, our free cash flow for the quarter was $373 million. After share buybacks of $182 million, a net cash position amounted to $4 billion at the end of the quarter. Our Board of Directors approved the payment of an interim dividend $0.27 per share or $0.54 per ADR to be paid on November 20. The interim dividend is up 35% compared to the interim dividend we paid last year. In addition to the dividend, the Board of Directors also approved a share buyback of $700 million to be executed within the next five months. Now I will ask Paolo to say a few words before we open the floor for questions.
Paolo Rocca : Thank you, Giovanni, and good morning to all of you. In the third quarter, we successfully carried out our extensive program of plant stoppages. We have now largely concluded an important cycle of investment in the maintenance and modernization of our industrial system, incorporating innovative technology for steelmaking and heating furnaces and further at the automation. Steel ongoing is an investment at our US Steel Shop to modernize the dust collection system and expand capacity, which will be concluded this month. This investment will contribute to significant improvement in productivity and environmental performance with lower vision. We're confident that we will see the benefit of these investments over time. We have expanded our relationship with international oil companies and consolidated our positioning in complex offshore projects. This is being reflected in a number of recent awards that will support our offshore order backlog for 2025 and 2026. The Guyana-Suriname Basin, where we are already serving ExxonMobil casing requirements under a long-term agreement. Saipem awarded us a line pipe and insulation coating package for the total [Grand Morgue] (ph) development, recognizing the benefit of our TenarisShawcor integration. In Brazil, we were awarded a riser and floor line package with thermal insulated coatings for Petrobras - Buzios 9 development, as well as the conductor casing and super chrome tubing for the Sepia and Atapu project, which we are currently delivering the export pipeline riser and coating for Equinor Raia project. In West Africa, ExxonMobil awarded us the casing for their Block 15 development in Angola. We also secured the offshore line pipe for Shell Bonga project in Nigeria. In the United States where drilling activity has stabilized, OCTG imports are coming down. Imports from Thailand have come to a halt after what they were found to have been violating trade rules. For this year, the Korean import quota has been reduced by 50,000 tons. And this will also apply for 2025. The pipe logic index of US OCTG prices has started to rebound with increases over the past two months and we expect that this trend will continue in the coming months. In Canada Trade action implemented in recent months has limited unfairly traded Chinese OCTG import. We are being successful in showing the value of our RIG Direct Service Program by extending the coverage and duration of our service agreement among the larger Canadian operators. This includes Petronas, who awarded us with a three-year contract for their OCTG requirement in the Montee, as they prepare for the startup next March of the LNG Canada project. In Argentina, economic conditions are improving and investments are starting to move forward in Vaca Muerta, where there are plans to increase oil exports from the country to 1 million barrels a day before the end of the decade. We were awarded the supply contract and received a down payment for the first phase of the Vaca Muerta Sur oil pipeline, which will connect production in the shale to a new deep water port, Punta Colorado, in Rio Negro province. In the Middle East, while gas drilling activity remain at the stable level, we are seeing some softening in oil drilling activity. In Saudi Arabia we have just completed deliveries and a special stock replenishment program and now Aramco is looking to reduce stocks and increase cash flow. Even if in the third quarter our shipment remains relatively high, the stocking will have an impact on our sale for the fourth quarter. Our free cash flow remains strongly positive -- even if with the transition to the new government, Pemex in Mexico has further delayed payments. Free cash flow has amounted to $1.9 billion in the nine months, and our net cash position at September 30th amounted to $4 billion. In this situation, our Board of Directors decided to increase our interim dividend by 35% to $0.27 per share and to authorize follow-on share buyback program of around $700 million using the authority granted at the annual general shareholder assembly in June 2020. With this interim dividend and extension of our share buyback program we will return close to $2 billion to our shareholder in this calendar year. We are now opening for any question you may have.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Alessandro Pozzi from Mediobanca.
Alessandro Pozzi: Good afternoon. Thank you for taking my questions. I have three, if I may. The first one is we've seen the results of the US elections. I was wondering if you can give us your thoughts on how the new administration could have an impact on your business, could have opportunities for you in the US. I'm thinking about potential more protectionist approach with higher tariffs or lower quotas, or maybe even on the M&A side, whether potentially now you're looking at maybe acquisitions that may not have been available in the past with the previous administration. And we know that in 2023, the acquisition of Benteler was terminated. So any thoughts around the impact that the new administration could be really helpful. The second one, if you can just give us maybe a view on what we should think about the share buyback into next year. You just announced $700 million until March, but I was wondering beyond March, what sort of let's say share buyback program we could envisage? Should we assume on a steady state, $1.2 billion for next year, let's say, same as last year? And also a final question on outlook for the activities in North America. Some of your peers have suggested potential flat, if not down activities coming down next year, but it feels like you are more constructive for the US next year and I was wondering if you can give us your thoughts on how we should see activities into 2035. Thank you.
Paolo Rocca: Thank you, Alessandro, for your question. Well, to begin with you are mentioning the impact of US election. I think it's very early to understand the changes that may be relevant for us. Let me say that one first point is that we reduce the level of uncertainty. At least we know today where we are and everybody in the world, the government of different countries, knows which will be the new government in this way. In this sense, we are reducing the level of uncertainty. This is always something positive for, and constructive for deciding strategy and what will be the action from the part of the company and the different government. Now in terms of where we see area that could be of impact, well I think in general, the election of Donald Trump as the President, even if it will materialize, will take charge only in January, but has been perceived as positive for the energy sector. We may expect that the policies of the new administration will be favorable for the energy sector in facilitating development oriented to export of gas in particular. We may expect some permitting speed up that would allow improved evacuation in the region. So in general, I think there is a general perception that the new administration should have a positive impact on investment in the energy sector in the United States. The second point is on China. The new administration will have a policy of restraining the aggressiveness of the Chinese industrial sector in import into the state. The position on China may reduce the penetration of steel and other materials from China in the United States and maybe in other parts and other regions. In this sense also we perceive that this may be something that could have a positive impact for a company like us that are operating in this market. Third area that is important is the question of the tariff. This is more answer to it because in the end we don't know which will be the policy of the new administration in the relation with Mexico or the rest of the world. I think we have to wait until we have a more clear understanding on the setup of the relation and the decision concerning tariff. In general, we may expect that the new administration will defend industrial activity in the US and in my view also in the US - MCA because in the end the repositioning of the supply chain into the Western countries and into the US should have a positive impact for companies like us that are mainly operating within this space. But this is something that we will understand better in the future. From the point of view of the relation, for instance, something that is also important for us, with Argentina, the new administration should have a positive view and a positive view of the relation with Argentina. From the point of view of Argentina, the election and the new administration is a positive news. There is a relation that could be constructive for supporting the recovery of the Argentinian economy. And in this sense, I think that this should support investment, for instance, in the development of the energy sector in Argentina and will also have an impact, like the one that we have seen just yesterday, in reducing the risk associated with Argentina. The country risk will possibly be reduced by the strong relation that has been established in the past and I think is possible to influence the relation and the ability of Argentina to have access to the international financial model. I think these are the area in which we are observing and we expect that the change in administration may have a positive impact on a company like Tenaris that is operating in this environment.
Alessandro Pozzi: And what about potential new M&A opportunities in the US?
Paolo Rocca: This is also something that we would -- I mean, we need to wait and see all the decisions that gradually the new administration will take and we will see. We have no today, no hints of which will be changing policy on the antitrust or in other areas that could be, let's say, introducing changes that may stimulate or be in favor of M&A policy for a company, for Fortinaris. The second point is on the share buyback, well we announced the decision that has been taken of the within the authority of the board. I think that the board in February, will again in February and before the General Assembly analyze and see how the situation is evolving and we'll consider the policy for shared buyback at that time. We cannot anticipate today which will be the orientation of the board and eventually of the special assembly, external assembly that will be needed to expand our share buyback program. The last point is the outlook for North America. I understand you are referring to comment of some of other oil service companies on the region. I will ask here to Luca to give us his feeling on the level of activity. I think that also the election in the United States may also have an impact here. But anyway, Luca, it's up to you.
Luca Zanotti: Yeah, thank you, Paolo. Good morning, Alessandro. So I understand that you're referring to Q1 2025. And if this is the case, here we need to see that our activity in the US will increase. And this is going to be mainly driven by three factors. One; our customers are resetting the budget are going to add a few rigs, I mean not big things but they're going to slightly increase. We will complete the roll-over of our contracts to the company that have been acquired by our legacy customer. This is another component. And there are a few small operators. They used to be traditionally our legacy customer that went out of activity for a certain period, and now they have recently returned -- they are returning right now, and we're going to see the effect of them deploying full speed in the first quarter of [2021] (ph). So in terms of activity, we see an increase. Obviously, also in terms of price, we see an increase. As you know, our prices have some lag. So we want to see the increase that we have seen here in the PipeLogix recently. And I think we're going to see another one going ahead, fully reflected into the first quarter of 2025.
Alessandro Pozzi: Okay, very clear, thank you very much.
Operator: Thank you. One moment for our next question. Our next question comes from the line of Arun Jayaram from JP Morgan Securities LLC.
Arun Jayaram: Yeah. Good morning. Good afternoon, gentlemen. Paolo, my first question is maybe a follow-up on implications from the new administration. I wanted to get your thoughts on -- if the new administration did raise tariffs on imports, so this is a what-if kind of scenario, what would be the impact to Tenaris? And I'm just thinking about if you could give us a sense of how much of your North American revenues or volume do you supply with domestic product versus maybe some of the sourcing out of Veracruz or out of Argentina?
Arun Jayaram: Thank you. First of all, we need to understand the policy that will be adopted in the new administration. I think the new administration has a strong drive in repositioning supply chain out of China. And they will consider not necessarily only in the United States, there will be, I imagine, a policy oriented to this repositioning of supply chain that will include also, let's say, consideration for the USMCA for the American industry in itself, but also for the relation with countries that are within, let's say, the area of influence of the US and the Western countries. In this sense, I [do not] (ph) expect that this will be analyzed carefully and taking into consideration, let's say, the existing contractual relation or the existing agreement that are in place. Now, in the case, by the way, often increase in general of the tariff within this space, you have to take into consideration that today we basically -- we are able to produce all what we are selling into the United States on the capacity that we have installed in the United States. We may complement some specific product for some specific client, but in general, we have the largest production capability in the United States. So we will be able to react and to serve the market in any scenario in different conditions. But as I repeat, I think we need to wait for this policy to be [regulated and organized] (ph) in a more specific way before having a clear understanding of it. In general, I think if the orientation of Tenaris is to defend the domestic industry and to promote industrial activity to the states, Tenaris is a company that will be basically favored by this because we have capacity in it and we will be able to supply our clients in the present condition from within.
Arun Jayaram: Great. That's exactly what I wanted to get answered. My follow-up is just thinking about kind of near-term thoughts on kind of volumes and EBITDA margins. It does look like, Paolo, the second half of 2024 is matching what you mentioned at the recent Investor Day, but maybe the shape is a little bit different with higher 3Q results versus 4Q. I was wondering if you could give us your thoughts on maybe how EBITDA margins could look in 4Q and if you had any visibility about trends into the first half of 2025.
Paolo Rocca: Well, you are right. We are in-line with the expectation for the second semester of 2025. Now in the fourth quarter, we will have the volume will be slightly lower, something in the range of the mid-teens compared to the third quarter. The same will be basically for the sales, and the margin will remain more or less in-line with the margin that we had in the 3Q. So, as you say, the third quarter will be stronger than the fourth quarter. On average, the semester, the second half, will not be far from in-line with what we anticipated. Now, in the first quarter of 2025, we expect to have an increase around the low-teens for volume and revenue, and the margin will remain more or less again in-line with the second half of 2025.
Arun Jayaram: Thank you very much.
Paolo Rocca: 2024 -- sorry, 2024. In-line with this time.
Operator: Thank you. One moment for our next question. Our next question comes from the line of Marc Bianchi from TD Cowen.
Marc Bianchi: Hi, thank you. I was curious to hear some more about the upside you see in Argentina and Mexico. I think I heard you say that there was a pipeline award that you have now for Argentina. Maybe talk to us about when that starts to flow through results and then just any sense of the magnitude of what kind of increase from those countries could be flowing through to Tenaris.
Paolo Rocca: Thank you, Marc. Well, in Argentina, you have followed the changes in the economy are moving in the right direction. Exploitation is going down. The deficit is under control. The set of the law that has been approved is introducing changes in the hydrocarbon sector in the labor area. So the transformation is advancing. The country risk is going down substantially. And Argentina is moving in the right direction. Now, we are starting to see also investment coming into the energy sector at the pace that is allowed by the need to launch projects and so on. Have you seen also the sales of Exxon assets in Vaca Muerta has taken an important step. Exxon decided to assign this to one of the bidders. So now we may expect also that in this case there will be a project that starts to be developed. In the case of the pipeline, we receive an order for the first phase of the Vaca Muerta Sur, this is the largest pipeline for evacuation of oil. It is the key for opening the door to additional production of oil in Vaca Muerta. This we will start to see, let's say, delivery of this pipeline at the end of the first quarter of 2025 because now we received the advance payment that we start the cycle of buying steel and start producing. So we will start to deliver at the end of the first quarter. But we also -- I expect that with the different moving part in the economy and in the energy sector. Some new rigs will start to be added in the coming months. And gradually, the capacity of the system will increase to be prepared for the expansion of the evacuation capacity of oil. I think we will see this during 2025 rigs may increase in my view, in the range of 40 or plus rigs compared to what we are today. Possibilities will take, let's say, 2025 to materialize. But gradually, by the end of 2025, we should arrive in Argentina with an increased number of rigs, I expect between 40% or 50% more than what we have today.
Marc Bianchi: That's very good. Yes, and in Mexico?
Paolo Rocca: Mexico, the second point concerning Mexico. Mexico is, let us say, the situation we see in Mexico is influenced by the change in the government. We do not know yet how the new administration in Mexico will, let's say, intervene on the energy policy and on the refinancing of Pemex. Probably, I think this quarter has been a very low quarter in terms of activity from Pemex and the rest of the system. There is a, let's say expectation for the decision that the new government may take in refinancing Pemex, deciding how to promote investment in the energy sector. We are positive in this because we see that the new administration is sending signals that they will promote investment in the energy sector, not only in the oil and gas, but on the -- also in the renewable. I think we will see the policy to be articulated and give some visibility in the first quarter of 2025.
Marc Bianchi: Okay. Very good. Thank you for all that. I just had one other. As it relates to the capital return, and I know well, you'll formalize this plan in May, but as we think about your willingness to maybe dip into the cash balance to support capital return, what sort of cash balance does the company need to just run the business because certainly, the current level is much more than you probably need?
Paolo Rocca: Well, before getting into this, let me do a correction because I was reviewing the note here. I may be -- before responding to the question of Arun, I was saying that in the fourth quarter, the level -- the volume reduction will be in the level of meeting. This is not -- it will be single digit down compared to the third quarter. I don't want to be misunderstood on this. So the single...
Marc Bianchi: okay, but still double-digit up.
Paolo Rocca: Sorry, not in double digits, double digit. And is double digit up in the first quarter of 2025. We would go up -- in the first quarter of 2025, we will go up by around 10% or something like that.
Marc Bianchi: Thank you for the clarification.
Paolo Rocca: Yes, sorry for the clarification because I have here. Now on the question of the cash, I think this is up to the shareholder to decide and to the Board to indicate. I think that now when we look at the $4 billion, and without a visible target for M&A of major operation, it is logical and is rationale to proceed in the buyback and increase in dividend. But this is also something that we need to evaluate over time. I think that at the beginning of -- in 2025, we will have a better understanding of potential opportunity that we may have all around the world in expanding our level of activity, and this will be an important factor to consider, which will be the best capital allocation for Tenaris. I don't think we are now in the position to determine which will be the capital allocation looking ahead, especially in the situation that has so many, let's say, uncertainty in the different areas in which we operate.
Marc Bianchi: Thank you very much, I will turn it back.
Operator: Thank you. One moment for our next question. Our next question comes from the line of Stephen Gengaro from Stifel.
Stephen Gengaro: Thanks good morning. Good afternoon everybody. I think two for me. The first, and it gets to kind of cash usages and maybe even the M&A side. When we think about the kind of what you have done over the last 20 years as far as M&A, right, everything from Maverick on through recent deals, it all seems to be kind of in the same line of business. I'm just curious how you think internally about what -- would you go outside of those product lines at all? And maybe kind of how far outside you'd go from kind of a manufacturing versus service business?
Paolo Rocca: Well, when we look at the M&A considering where we can leverage our know-how, our local presence to our positioning. So -- and usually, we look at the [indiscernible] of the competitive advantage that we may have or create through M&A. We do not look at this from a point of view of diversification. We look at this from the point of view of the competitive advantage that we can create. Ours is not to diversify. This is up to the shareholder. Our is to maximize the potential and the capability of the company. So that's the approach that we are taking. And we have limitations sometimes coming from the trust limitation because of the size of our operation or from a risk perception that may be, let's say, different for what we are prepared to take. But these are the criteRaia we are using to evaluate where to move and how to move.
Stephen Gengaro: Great. Thank you. And the other question I had at maybe a higher level, but you've alluded to this in the past, and I'm curious what your current thinking is on, on the EBITDA margin front, you've done a great job over the last couple of years, right, getting margins high and maintaining at a pretty healthy level. Where do you see kind of in -- where do you see kind of margins sort of flowing out on a normalized basis? Like should we think about kind of low to mid-20s as a pretty good normalized run rate? Or how do you think about that?
Paolo Rocca: I think that Tenaris is a highly differentiated company. So really, within our realm, which is the realm of oil and gas service company, we are a highly differentiated company. And if you look at how things evolved in the last 20 years, we extended our differentiation, first on product, then on regional deployment, then on service. And this differentiation translates into, let's say, higher margin compared to other company operating in the same field. I don't think we ended up our journey in this direction. We are continuously looking on how we can create competitive advantage also for our client. You see here, for instance, in the acquisition of Shawcor and some of the awards that we received in the last -- during this year, we have been able to build solid relation with our clients, creating value for them, highly differentiation for us. In this sense, if you think the change also in the administration and the -- let's say the position that will be taken about China is also -- to my point -- to our point of view is, to some extent, increasing our differentiation. Because it allow us to focusing and, in some cases, to present to the client offering the reason, excellence from the point of view of quality, service deployment also from the point of view of environment. We are the most low carbon company with the more aggressive probably plans for decarbonization. We will -- we are know, as you know, we are in construction for the second the El Leoncito park in Argentina. By the end of '25, we will be 100% renewable in our supply of energy. I mean, we are investing in this. So this differentiation, in our view, should allow us to look for margin that, in my view, should be higher than where we are today.
Stephen Gengaro: Great. You know, that’s great color. Thank you very much.
Operator: Thank you. [Operator Instructions] At this time I would like to turn the conference back over to Giovanni Sardagna for closing remarks.
Giovanni Sardagna: Thank you, Gigi. And well, I think we have another question.
Operator: Yes. One moment for our next question. Our next question comes from the line of Rodrigo Almeida from Santander.
Rodrigo Almeida: Hi, everyone. Sorry, I thought it was on the line up. So I just have a couple of follow-ups here. I think the first one is related to the -- maybe the outlook that we talked about regarding the short term. And I wanted to get an update on the $200 million cost saving project that you guys are working on. in weather this is already included in this sort of guidance that we're talking about for fourth quarter and first quarter. And what is the progress of this cost saving progress -- projects, sorry? And then some additional color on South America, where we talk about Argentina a little bit and then we mentioned the project in Brazil, the project with Petrobras and the projects with Equinor as well. How soon could we expect these volumes, especially for RAIA to kick in? And what would be the impact from these projects on your revenues for South America, especially for 2025, I would say, because RIA, I guess, it's going to come online very soon at some point. I'd be next two, three years? Thank you.
Paolo Rocca: Thank you, Rodrigo. Well, on the first question, we are advancing in our plan. We set the target of the $200 million reduction in our cost. We are advancing in it. We reached first stage of this plan. The second stage will come from the investment we have done in our facility in the last quarter. But we are proceeding in line with our expectation, and we are doing well on this. I expect that this will be materializing around more than one-third in this first -- second semester of 2024 and the rest in the first semester of 2025. Now the question of the project that we are getting in Argentina and Brazil on -- or in RIA, and also in other parts of the world, these are large line pipe projects. I will ask Gabriel to comment on this and when we will be delivering in some of this?
Gabriel Podskubka: Yes. Thank you, Paolo. Related to some color that you're asking on Latin America, in addition to what Paolo already explained on Argentina and Mexico, let me tell you that, in Brazil, we are proceeding very well with the production and the shipment of Raia pipeline. These shipments for this project started on last quarter and will be concluded in the second quarter of 2025. So production of the pipe and concrete coating is proceeding favorably. So this is -- will be a positive impact on Brazil. Regarding the deepwater flow lines rise and insulation code, Paolo also commented on Buzios 9 deepwater project, this is something that will be delivered into the later part of 2025. So this is also going to be an important contributor of our revenues in offshore Brazil. And there, we have regular call-offs for our contracts of conductors, stainless steel completions as well in Petrobras. So overall, we expect that deepwater Brazil will be an important engine for growth in the fourth quarter of 2025 and into 2025 and regarding Brazil. Then onshore Colombia and Ecuador are areas that have been subdued during 2024. And we don't expect into 2025 any recovery in the drilling activity. In these areas is probably about half of what they used to be a couple of years ago. So these areas, we don't expect any rebound in the short term. If you go to the Guyana-Suriname Caribbean region is a region that has continuously expanding production, especially on the Guyana, ExxonMobil development, where we participate with large ODE conductors and casing tubulars and also with the insulation coating for the pipeline demand in that area. That continues at a steady state. 6 drilling rigs operating in the area, and that this will continue to be the case into 2020 results. And Paolo commented in the opening remarks about the important award of the pipeline and coding regarding the total new development in Suriname, a new FID that is opening a new basin. This is a pioneer development that we will start delivering the later part in to 2025, this is important because it's the first phase, but probably not the last one. And this award is important, as Paolo was saying, it's a combination is a bundle of tubulars and the coating the track record of Shawcor go to Tenaris. And also from the tubular point-of-view, this has been a very complicated and sophisticated spec to meet. So it's a testament to our R&D and production capability. So these are these offshore awards are going to give us a good visibility of the backlog into 2025 and even some of them into 2026.
Paolo Rocca: Yes. Thank you, Gabriel. This let's say, for us, are very important because a confirmation of our ability to get in very complex projects in a differentiated way building a backlog even if they are for a long, let's say, project that will come to fruition over the long term are very, very important in -- for our positioning in the complex offshore and for our building the backlog for the long-term, which is also very important for us.
Rodrigo Almeida: Perfect. Thank you so much for the call, very helpful.
Operator: Thank you. Our next question comes from the line of Arun Jayaram from JP Morgan Securities, LLC.
Arun Jayaram: Yes. Paulo, sorry to double dip here, but I just wanted to see if we could get a little bit more clarification just sensing a little bit of confusion from the buy side on your outlook comments for 4Q and 1Q '25. So could you just help us understand what you think the sequential impacts will be to revenue in 4Q and 1Q? And just trying to think about revenues versus volume in both of those quarters.
Paolo Rocca: Yes. Sorry, Arun, that I made -- I gave the wrong indication on the teams and not the [indiscernible]. What we expect is that in the fourth quarter, volume and sales will be lower than in the third quarter by, let's say, single digit, around 7%, 8%, something in this range, lower in the 4Q than the 3Q. In the 1Q in 2025, we expect this to rebound in the range of 10%. We are talking about teens or not teens, we talk about the numbers. But these are, let's say, estimation that obviously range around what we are in. So they are moving together, volume and revenue, and as I was saying, the margin will stay around the same level that we had in the third quarter.
Arun Jayaram: Great. Thank you for clarying that.
Paolo Rocca: It is clear now?
Arun Jayaram: Super clear. Thank you.
Paolo Rocca: Sorry, Arun.
Operator: At this time, I would now like to turn the conference back over to Giovanni Sardagna for closing remarks.
Giovanni Sardagna: Thank you, Gigi. And if there are no other questions, we would like to thank you for joining us for our call, and we hope to see you soon. Thank you.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.